Operator: Greetings, and welcome to the Professional Diversity Network’s First Quarter 2016 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I’d like to remind listeners that during the call, certain information presented contains forward-looking statements. These statements are based on management’s current expectations and are subject to risks, uncertainties and assumptions, potential risks and uncertainties that could cause the company’s business and financial results to differ materially from these forward-looking statements are described in the company’s periodic reports filed with the SEC from time-to-time. All information discussed on this call is as of today, May 12, 2016, and Professional Diversity Network does not intend and undertakes no duty to update future events or circumstances. It is now my pleasure to introduce your host, Jim Kirsch, Chairman of Professional Diversity Network. Thank you, Mr. Kirsch. You may begin.
Jim Kirsch: Thank you, operator. Good afternoon and thank you for joining us today. This is Jim Kirsch, Chairman of Professional Diversity Network. I’m joined today by Kathy Butkevich, our new CEO; Star Jones, our President; David Mecklenburger, our CFO; and Chris Wesser, our Corporate Secretary. I would like to take this opportunity to thank everyone for joining us today. I’m going to begin by discussing our operational accomplishments. Our adjusted EBITDA deficit was $474,000 in the first quarter, after excluding a one-time $500,000 settlement charge. This was our best quarter on an adjusted EBITDA basis since our IPO, and reflects our ongoing attention to productivity improvements. It represents almost $1 million improvement in the quarterly adjusted EBITDA loss when compared to the first quarter of 2015, when our adjusted EBITDA deficit was $1.4 million. We have focused on profitable revenue opportunities and continued to eliminate expenses that aren’t tied to productive revenue generation. This has allowed each of our divisions to get closer to profitability when compared to the year ago quarter. In the first quarter of 2016, we experienced a decline in comparable quarterly revenue, due primarily to our focus on profitable revenue opportunities. Some of the year-to-year revenue decline was the direct result of planned staff reductions of underperforming sales reps, which is reflected across all of our business units. The good news as the year-over-year improvement in adjusted EBITDA shows is that the revenue decline was offset by a large corresponding revenue reduction in operating expenses, demonstrating the success of our ongoing effort to drive toward profitability. To give you some perspective, our Q1 revenue declined by $3.4 million over the year ago quarter, while our Q1 expense declined by $4 million over the comparable period. That’s more than a dollar-per-dollar expense reduction. It is also part and parcel to how we are managing our business with a focus on profitable revenue. In order to accomplish this, we took a deep dive into each division’s operating expense base. On the NAPW side, Kathy spent her first 90 days evaluating its recent operating performance, the existing management team, operating processes and systems and the composition of the operating expense base. Kathy also evaluated the NAPW’s market position, its current brand positioning and membership engagement strategies. In her first quarter, she defined the key short and long-term operating goals for the NAPW. Aligned the team’s focus on those goals and created a culture of transparency and team work. She also developed an internal management process to ensure all functions were properly aligned with key initiatives. The next phase of our plan is to ensure that NAPW’s target market and the value proposition is clearly defined for the optimal member, while developing an effective digital and face-to-face member engagement strategy. We intend to support these initiatives by conducting a comprehensive market analysis that is both quantitative and qualitative to identify key segments and trends in order to define appropriate product offerings. The market analysis will include focus groups to learn from current and former members. We expect that our efforts will enable us to improve our engagement with our members and speak to them in an appropriate voice where we can effectively articulate our mission, vision and the core value proposition. The plan also includes the hiring of a Chief Marketing Officer, the expansion of our digital marketing team, optimization of all technology platforms, the development of a robust content strategy and the implementation of big data strategies to leverage our marketing investment. These efforts to drive revenue and operating cash flow include the following primary areas of focus. Number one: optimizing our member acquisition strategies. Number two: improving member retention through digital and face-to-face engagement alongside new and improved product offerings. And three: monetizing our existing database through new product offerings and corporate sponsorships. Even as it stands today, we have already begun to implement a number of new member acquisition strategies, including efforts supported through our work-from-home model, digital engagement, member-to-member programs and event driven recruiting. We have also undertaken efforts to upgrade our event content and venues. It is critical that our members get value out of the content that we provide in both online and in live forms. From online perspective, it is all about resources and access whether it is individual or through our new eChapter. In both cases we expect that we will be raising the bar to deliver value. We’ll measure engagement and analyze what works best. We plan to follow a similar path in live engagements and intend to optimize our meetings and topics for each individual audience to deliver more value. We intend to constantly evolve our content and engagement and create a virtuous cycle of improvement, one that supports the drivers of revenue. At the same time we expect that we will improve our operational processes and productivity to ensure that we are focused on improving the cash flow generating ability of the company. In short, we plan to run a data-driven digital marketing machine focused on optimizing engagement with our members. Our Diversity recruitment products and services are also improving. Our one-on-one career consultation services are matching more candidates to jobs because of the enhancements that we have made in our job matching technology. More and better matches, means a higher ROI for both our client sponsors and our diverse job-seekers, which contribute to higher revenue with, strong gross profit margins. As a result, we are also increasing our staff of career advisors and we are seeing the strong financial results that we expect. In fact new referral agreements have enabled us to capture an 8% increase in revenue per monetized session so far in the current second quarter when compared with the first quarter of 2016. We have also recently brought on new partners to recruit diverse talent including MasterCard and General Dynamics. So far in 2016, we have been experiencing favorable renewal trends including a renewal this week with the Securities and Exchange Commission. Additionally, we mentioned on our last call that our relationship with Manpower continues to grow and I’m pleased to inform you that we have launched a custom branded Diversity recruitment portal with Manpower just last week. Finally, we continue to add new partners including the National Association of Women MBAs, who are expected to launch with our Career Center later this quarter. If we look back, 2015 was a year of integrating our combined assets in a manner than enabled us to cut cost and apply collective structure. In 2016, we remain vigilant on expense reductions while at the same time we reinvest in people, process and marketing to achieve our goal of increasing revenues and profitability. On that note, I would like to turn the floor over to Star Jones, our President to talk a bit about our membership. Star?
Star Jones: Thank you, Jim. Good afternoon everyone. This is Star Jones. I’d like to thank you for listening first of all. And today, I’m going to talk primarily about our PDN and NAPW businesses. However, before I do, I would like to say that as one company, we continue to utilize the collective strength of our members, partners and unique proprietary platform to strive to be the global standard in business diversity recruiting, networking and professional development. Now, with regard to PDN, we are indeed redefining diversity. It’s not just about race it is inclusive of women, minorities, veterans, the LGBT community and disabled persons. And our charge is to help to all Americans find good paying job. We offer our members enhanced employment opportunities, networking and professional connection and access to professional resources to further their professional goals. At the same time, we offer our corporate clients the opportunity to connect to a large pool of diverse professionals, recruitment services and an EEO-OFCCP compliance inclusion solutions that are both scalable and measurable. In many respect we facilitate a match made in heaven. As you all are well aware, Diversity is not just about doing what’s right. It’s about doing what’s good for business. Countless studies have shown that companies with diverse employees particularly in positions of leadership outperform companies that are homogenous. Diverse employees bring different experiences and perspectives that often lead to innovative ideas. And that innovation benefits the company’s bottom line. In order to facilitate our mission, we have recently launched our PDN Recruits tool. We believe our technology is unique in this space, it’s easy to use and it’s competitively priced. We have many exclusive partnerships with diverse professional organizations which guarantee a diverse candidate pool. This tool is being used now by more than 50 partners to match jobs with the right job seekers. Meanwhile it conveniently keeps all of a company’s recruiting needs in one centralized location. There is absolutely nothing else like PDN Recruits to identify diversity candidates and it allows businesses do as I like to say stop fishing from the same pond when it comes to hiring diverse people. Now, I’m going to switch gears. Let’s talk a little bit about NAPW. At NAPW, we continue to offer networking community where professional women connect with others, develop professionally and personally and promote themselves in their businesses. The NAPW provides its members with enhanced networking opportunities through more than 200 local chapters that host about 1,100 meeting and/or event per year. We also have more than 50 value-added benefits for premium members that provide a variety of networking opportunities, specialized education, career resources, professional resources, sales and partner opportunities and other important services. We connect with our members in live settings and also online through our virtual networking eChapter. We rolled out the NAPW eChapter about 6 months ago. And it has truly been one of our largest successes to date. We have been running bi-weekly eChapter meetings and have attracted more than 4,500 members to these virtual meetings. Today we have over 16,000 members of our eChapter and it’s still growing. It is clearly our largest chapter. In addition, as this the overwhelming success of the eChapter is not enough, we’ve also found that by expanding our electronic footprint, we can better meet the modern needs of our members. Initially we thought that the eChapter might appeal more to the home-body type. But the reality the appeal is universal. And there is significant crossover between local and eChapter member involvement. In areas where local chapters are less actively, primarily outside of the largest metropolitan areas, our eChapter provides a sense of community and attachment of remote members to the larger NAPW group as a whole. On the other hand, in more active local areas, our members have used the eChapter to reach beyond their city limits. As you know, we talk a lot about networking and engagement, that’s the business that we’re in. For the members who are jointly involved locally and with our eChapter, they’re able to realize more value out of our membership. For this reason, getting members involved in both live and online settings has the potential to create the most sticky and active members. And those are the people who buy premium membership and renew at higher rates. We look forward to expanding this eChapter program in the next quarter as we believe it represents the future of professional networking. Moreover, as we improve our business processes as Jim discussed, we should continue to see strong engagement and increasing membership, which should lead to growing revenue and increasing profitability. Moreover, we intend to continue to demonstrate our relentless dedication to serving our members and clients. And that is why I am proud to be President of one of the leading diversity resource companies in PDN and President of the number one networking organization for professional women in the country. At this time, I would also like to thank our listeners for your ongoing support. And now, I will turn the call over to David Mecklenburger, to talk about our financials.
David Mecklenburger: Thank you, Star. This is David Mecklenburger, CFO of Professional Diversity Network. I’m going to briefly review our financial results of the first quarter and then I will open up the floor to questions. Revenue was $7.3 million in the first quarter of 2016, this was down from $10.7 million in the comparable year ago quarter. The revenue decline was due primarily to organizational changes that we undertook to focus on profitable revenue opportunities. This resulted in foregoing some revenue opportunities in order to cut expenses significantly. Our gross margin remains strong, we posted a gross margin percent of 88% in the first quarter of 2016, which was well above the gross margin of 84% in the year ago quarter. Operating expenses were $9.2 million and were down by $4 million versus Q1 of 2015. As previously mentioned, we cut expenses significantly from that first quarter a year ago. In Q1 2016, we also incurred a one-time charge of $500,000 that’s included in operating expenses to settle some outstanding litigation. Excluding that litigation settlement, our adjusted EBITDA deficit shrank from $1.4 million in Q1 of 2015 to $474,000 in Q1 of 2016. This shrinking adjusted EBITDA deficit is the direct result of our ongoing cost cutting efforts. The net loss per share was $0.10 in the first quarter of 2016 versus $0.12 in the first quarter a year ago. The combination of our high gross margin and reduced operating expenses bodes well for the future profitability. Our expense base is now at a level where we can enjoy significant operating leverage when revenue increases. On that note, I would like to turn the call back to the operator to pull for questions. Thank you.
Operator: [Operator Instructions]. Our first question comes from the line of Andrew D’Silva of Merriman Capital. Please proceed with your question.
Andrew D’Silva: Good afternoon. Thanks for taking my call. Just a few quick questions here. I’m not sure if you mentioned this in your prepared remarks. But can you provide a bookings number for the first quarter? And then if possible if you have a comparable booking number for the fourth quarter, it could help me kind of pin-point forward projections when modeling?
David Mecklenburger: Andrew, I’m sorry, I don’t have that information at my fingertips. Bookings were slightly below recognized revenue. And we can get back to you with the exact figures after the call.
Andrew D’Silva: Great, thank you. And then, if you could, I don’t know, you kind of seemed to have touched on this briefly. But I didn’t hear you mention my footpath. How is the integration going on in there? And then, maybe a little bit of color on their infrastructure, can it be utilized for hire advantage and if applicable maybe PDN hired as well?
Jim Kirsch: Yes, I’ll take that, David. So, as I mentioned in my comments Andrew, we were experiencing some measurable lift in terms of increase in revenue per engagement that we are conducting. And that’s a comparison from end of the first quarter to the beginning of the second quarter. So that’s our current kind of real-time read on the situation. So, as we anticipated, we’re getting a nice bump in terms of revenue and in terms of margin. And we anticipate that that should continue to improve during the months ahead so that’s gone as expected or a bit better than expected.
Andrew D’Silva: Okay, great, great to hear that. And with PDN hired, I believe last call you said you were moving faster than expected, I think up to 80 customers. And you said that the deal sizes were between $500 and maybe $2,000 per month approximately. Can you maybe give an update on where you are with customers right now? And then what is the average deal size in between that $500 to $2,000 per month range?
Jim Kirsch: Sure, thanks Andrew. So, again, just more real-time commentary, the PDN Recruits product that we launched at the beginning of the year exceeded our internal expectations in the month of April. The price points as you mentioned are $495 to $1,995. Our average sale is approximately $712. And we are pacing as I said a bit ahead of our plan about 20% ahead of our internal plan. As you may have noticed, we did run television at the actually just last month. And we saw a lot of traffic increase from television. And so the sales team is still working through perfecting those new inbound increase that we’re having. Another thing that’s happened that we didn’t anticipate from PDN Recruits is it’s raised our profile. And it’s brought in additional new conversations that have percolated up to the enterprise level. So, when we’re engaging these potential recruiting partners on the recruits’ levels, recruits level only goes up to 15 job slots. And we are finding that we’re engaging with recruiters that have more demand than 15 slots can accommodate. So it’s incubating nice conversations with us on the larger enterprise client level.
Andrew D’Silva: Just to recap that, so you’re saying PDN hired traditionally working with Recruits but because you’re having success there, you were getting higher up the chain in the enterprise level where it’s more than 15 applicants within the full [ph] product that?
Jim Kirsch: That’s exactly correct.
Andrew D’Silva: Okay, great. And then just a last question, I know you’d be doing a lot of interesting initiatives, upgrading your technology, adding eChapter for NAPW and really tying in all the different businesses to bring corporate access to NAPW members. Have you seen any either qualitative or quantitative progress that you can maybe discuss in relation to that? And if you can touch on how the churn rate is going, obviously cutting sales team isn’t necessarily a bad thing. If you can reduce that churn rate and generate profit rapidly. So, I’m just trying to kind of triangulate where we’re at on that?
Jim Kirsch: Yes. So, you’re exactly correct. I think it’s very important and we’re very focused on membership retention. And also for that matter on our corporate client retention, as I mentioned in my remarks that we’re seeing favorable renewal trends on the corporate side, we’re exceeding I think approximately 75% renewal rates, which is really favorable for us and we’re excited about that. And on the membership side, we’ve also experienced a bump in increasing the amount of retention. And Kathy is in the earliest stages of her implementation of her plan. And I think it’s also important to note Andrew that while we have and will continue to economize and bring out more, efficiencies in the business as you know, we acquired some significant assets in the past 18 months. And so, as we integrate those assets we continue to find new ways of doing business smarter and more effectively. But at the same time, we’re reinvesting in the business where we have found success. And one of those areas is increasing the amount of retention. And the retention dollar-per-dollar dropped straight to the bottom line. So, it’s an important aspect of our business and you’re right to bring it up.
Andrew D’Silva: Great, all right. Thank you so much for answering my questions and good luck going forward throughout the rest of the year.
Jim Kirsch: Thank you, Andrew.
Operator: [Operator Instructions]. There are no further questions at this time. I would like to turn the conference back over to management for closing comments.
Jim Kirsch: Thank you very much. Greatly appreciate it operator. And we thank you all for participating in our call today. And we want you to know as always that for anybody who would like to follow-up with us directly, we’re available to you and would love to have a conversation with you if you’d like to learn more about our business in a more in-depth manner. Thank you very much for participating in the call. We enjoyed having you. We look forward to speaking to you next quarter.
Operator: This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.